Daniel Fairclough: Good afternoon, everyone. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. Thank you for joining this call to discuss our performance and progress in 2023. Present on the call today, we have Mr. Mittal, our Executive Chairman; our CEO, Aditya Mittal; and our CFO, Genuino Christino. Before we begin, I would like to mention a few housekeeping items. As usual, we will not be going through the results presentation that we published this morning on our website, but I do want to draw your attention to the disclaimers on Slide 2 of that presentation. We will be moving directly to the Q&A session following some opening remarks. So if you would like to ask a question, then please do press star one on your keypad to join the queue. With that, I will hand over to Mr. Mittal to begin the opening remarks.
Lakshmi Mittal: Thank you, Daniel, and welcome, everyone. We are working tirelessly to improve our safety performance and I’m convinced that we are on the right pathway. We must achieve our target of zero facilities -- fatalities and serious injuries as quickly as possible. Against the backup of a challenging economic and geopolitical environment, our financial results in 2023 are commendable. This shows the benefits of the actions we have been taking in recent years to structurally improve our business. Destocking is showing signs of coming to an end, and we are predicting growth this year in our core markets. Interest rates have peaked and there is a confidence they will come down this year. Inflation has already started to ease and energy prices have retreated from record highs. I look to ArcelorMittal’s future with great optimism. Our asset portfolio is lean and focused. Our recent acquisitions are performing strongly and the capital projects in which we have been investing will soon begin making a significant contribution to our regions. I want to thank this opportunity to thank all our employees for their efforts and contributions. Over to you, Aditya.
Aditya Mittal: Thank you, and welcome, everyone. I want to talk first about safety and then the subject of growth and capital returns. Beginning with safety. As we committed at our third quarter results, we have now commissioned the comprehensive third-party independent audit of our safety practices and governance. There are three work streams well underway. The first is the on-site audit of our fatality prevention standards, the second stream is reviewing our process safety management systems and the third stream is a review of all of our safety governance practices. I’m confident that dss will support us in achieving our target of zero fatalities and serious injuries. Everyone at ArcelorMittal is fully aligned behind this objective. After allocating significant capital to organic growth over the past three years, ArcelorMittal is now on the cusp of a step change in profitability. This year, we will commission high value-added lines in Brazil, a new electric furnace in the U.S., new electrical steel capabilities in Europe and iron ore projects in Brazil and Liberia. These projects represent the bulk of our strategic growth envelope, which in total is expected to add $1.8 billion to our EBITDA. Today, our asset portfolio is derisked and well positioned to capture the medium to long-term demand that we forecast. Steel is a vital enabler of the transition to new energy systems. Steel will be the foundation on which supply chain security is built and steel is vital to improving the living standards of growing populations in large parts of the world. We estimate that these megatrends will drive approximately 300 million tons of additional steel demand ex-China over the next decade with the biggest contributors being India, Brazil and North America. Our asset portfolio is well aligned to these growth vectors. Going forward, we will define our EBITDA, including the share of JV net income. What you should appreciate is that 60% of our EBITDA is driven by assets in North America, India and Brazil. And if you include our Canadian mining operations, it is almost 75%. We have excellent market positions, and we have attractive opportunities to continue to invest and capture the growth in demand. In North America, we are developing our plans to add another electric furnace at Calvert and double the scale of our asset in Texas. In India, we’re currently doubling our capacity to 15 million tons with plans under development to eventually grow to 40 million tons. In Brazil, we have a fantastic primary steelmaking position with the opportunities to add finishing capacity as domestic demand grows. In terms of capital returns, the value-creating impact that our growth investment has on every ArcelorMittal share has been significantly increased by our share buyback programs. It really is a massive achievement that we have repurchased one third of our equity over the last three years. We still have a large buyback program outstanding, and with the positive outlook for cash flow generation, we’re well positioned to continue taking advantage of our discounted valuation. The structural improvements we are making to profitability are feeding through into our base dividend. The change in our portfolio over the past 12 months supposes a further increase in the base dividend. Again, this should be seen as a clear statement on the progress we are making and the confidence we have in our outlook. I will now hand it over to Genuino to talk more about our financial performance.
Genuino Christino: Thank you, Aditya, and hello, everyone. There is much to be pleased about with our financial performance in 2023. We generated $7.6 billion EBITDA. This is $136 of EBITDA per tonne shipped, which compares very well with our history and highlights the inherent strength that we have built into our business in recent years, the quality of our asset base and the value we are deriving from our recent acquisitions and strategic growth projects. Net income was impacted by nonrecurring impacts related to the sale of our operations in Kazakhstan and the impairment of our investment in Italy. But adjusted for these factors, net income of just under $5 billion also compares very well with our history and illustrates not only the structural improvement to EBITDA, but also the growing contribution from our JVs and the impact of our lower cost balance sheet. And then these impacts have been further geared by our consistent share buybacks. The value we are creating is clear. We are consistently delivering a solid return on our book value, which has grown to $66 per share. Moving to cash flow, 2023 was yet again another strong year. We generated $2.9 billion of free cash flow, and this is after spending $1.4 billion funding the growth projects that Aditya referred to in his remarks. Looking to the year ahead, we have seen an end to the destocking headwind that impacted markets in the second half of last year. As a result, steel spreads have improved in recent months, and we are forecasting apparent demand growth in all our core markets in 2024, which should support growth in our shipments. To conclude my remarks, I believe our performance continues to provide evidence that ArcelorMittal can deliver value through all aspects of the steel cycle. We are consistently generating good levels of cash flow. We are investing in high-return projects, several of which will be concluded as we move through 2024. And to reiterate Aditya’s message, these projects will structurally increase our EBITDA by at least $1.8 billion. And finally, we are achieving all of this while consistently returning capital to our shareholders. With that, Daniel, I believe we can start the Q&A.
A - Daniel Fairclough: Great. Thank you, Genuino. [Operator Instructions] So we will take the first question, please, from Alain at Morgan Stanley.
Alain Gabriel: Good afternoon. And thank you for taking my questions. The first question is on your new accounting practices. So you decided to change your definition of EBITDA to better reflect growth in India, that I would argue, was overlooked by the market. Do you think that is enough to change the market’s perception around your India business? And then what was your share of net debt at AM/NS India in December 2023 as some skeptics would argue that you have decided to consolidate net income to keep your JV net debt out of side basically? That’s the first question.
Aditya Mittal: Sure. First of all, I would just say that overall, I don’t think it’s enough to highlight the value of our India joint venture and our other joint ventures. These joint ventures over the years have done incredibly well. They have market-leading positions. A lot of these joint ventures actually don’t have much debt. To give you a flavor, the actual combined EBITDA of these joint ventures is about $4.7 billion. So we are not reporting $4.7 billion. We are just including our share of net income. And as you know, net income is after financing costs, depreciation, taxes. So it really is the value that is accruing to ArcelorMittal. In terms of the future, I do believe that these joint ventures, especially India will continue to perform in Calvert. We have talked about how we are doubling capacity in India by 2026 that our share of net income is about $400 million from that. Clearly, the EBITDA generation is much greater and then Calvert, we are commissioning our first EAF by end of the year, and we’re progressing on plans on setting up a second EAF at our Calvert facility. So the idea of including the results from our equity income into the EBITDA is to highlight, but I still believe that we need to do more in terms of really educating, demonstrating the true value of these joint ventures, which I think is a unique asset that ArcelorMittal owns.
Alain Gabriel: Thanks. And what about the net debt setting at the AM/NS India?
Aditya Mittal: So we have talked about it before. It’s about $4.5 billion.
Alain Gabriel: Okay. Thank you.
Aditya Mittal: As of 2023. And that’s post the infrastructure asset acquisition of $2.4 billion that we completed in 2022-2023. Yes.
Alain Gabriel: Great to hear. And my second question is on your M&A approach. You’ve done a few deals over the last couple of years, like CSP, HBI and so on, how much of your EBITDA today is generated by these assets? And what is the upside from here from the M&A that you have already done? And on the flip side, is there a case for a more radical approach towards assets that you own, like [indiscernible] or South Africa some or JVs that are noncore to better streamline and optimize our portfolio. Thank you.
Aditya Mittal: Sure. Just on net debt of AM/NS, that’s on a 100% basis, right? So it’s not our share, just so that everyone is clear on that. So as I mentioned earlier, a lot of these joint ventures have strong balance sheets and they continue to perform well. Coming back to the overall question, look, I think this quarter, we announced that we have increased our base dividend. And we alluded directly to the Pecém acquisition and what we have done in Texas. I think it’s clear reading between the lines, we’re doing really well. Pecém is outperforming our expectations, Texas is outperforming our expectations. In fact, we talked about in the presentation how we intend to double the productive capacity of our facility in Corpus Christi, Texas. We are achieving our synergy numbers are ahead of schedule. These facilities are achieving more capacity than we thought. In the past, we have guided to EBITDA numbers of $350 million for Pecém $150 million more in Texas. And these facilities are run rating at those levels. In 2024, we will see the benefit of Pecém on a full year basis because in 2023, as you know, we acquired it towards the end of Q1. So that’s another benefit we should see 2024, apart from all of the growth projects, which are expected to be commissioned.
Alain Gabriel: Thank you.
Daniel Fairclough: Thanks, Aditya. So we’ll now move to the next question, please, from Tristan at BNP Paribas.
Tristan Gresser: Yes, hi. Thank you for taking my questions. The first one is on HBI growth. You’ve announced plans to build in Europe, five DRI plants, I think, in around 10 EAF but you now announced plans to double HBI capacity in the U.S. So I’m curious to why you shouldn’t or couldn’t triple capacity in Texas and maybe drop one or two DRI projects in Europe where the economics are less favorable? Or do you really need those DRI plants in Europe? And to add up to that question, more big picture, can you see a future European footprint without iron making? Or is it impossible due to CBAM and taxes on DRI imports? That’s my first question.
Aditya Mittal: Yes, thank you. Look, it’s a great question. I will provide an overall context and then provide a little bit more of a specific answer to your question. Fundamentally, when we think of decarbonizing our business, there are two things that we are absolutely focused on in terms of ArcelorMittal. The first, as you know, we have been a technology leader, and we will continue to be a technology leader, and we will do that also in how we should decarbonize the steel business. We have identified three routes, DRI/EAF, smart carbon, electrolysis. We continue to invest in these three routes. We continue to develop know-how, process knowledge, CapEx knowledge and that strategy will continue. The second is that we need and we will maintain our relevant market share in terms of low-carbon products in the markets in which we are present. And so we look at both those strategies, technology leadership, market leadership in terms of low carbon products and what does that mean for our business. As a result of that, we have embarked on examining DRI-EAF projects both in Canada as well as in Europe. But the advantage of ArcelorMittal is that we are global. The fact that we are global as we can access energy sources, which are global or iron ore sources, which are global and use that to our advantage as we plan a low-cost approach or relatively lower cost approach to the market and supply of these products. And it’s not just about the OpEx cost is also about the CapEx cost. And without getting into specifics of which project we will start up first, I want to provide you with the framework. The framework is technology leadership, market leadership and ensuring that we use our asset base, the fact that we are global, present in various markets to ensure that we deliver to the market relatively the lowest cost, most CapEx-efficient, decarbonized product.
Tristan Gresser: All right, that’s helpful. So maybe as a follow-up to that. And as my second question, if you do plan to maintain market share in your current market, notably in Europe, you’re seeing competitors are moving a bit faster on building the EAF, building those DRI plants. So when you look at the budget and the plan, the decarbonization plan, do you see a risk there to the budget and also the time line as you may be losing first-mover advantage in the region?
Aditya Mittal: Yes. Just on that, look, we have today over 1.8 million tonnes of HBI sitting in Texas. Some of that will go into Calvert as we start up the Calvert project, but we still have quite a significant amount. I mean, if you look bigger picture, we are the world’s largest producer of DRI, we actually produce -- we’re the only steel producer, which is producing DRI in Europe and Germany and Hamburg and we have plans where we can dial up the capacity and use that and bring it to Europe if that is what the market is demanding. We also have electric furnace capability in Europe. We actually have a flat EAF-based facility in Europe, in Sestao, Spain. So if you just look at our technology basis, we have the DRI already, and we have an electric furnace and a caster which can produce flat products. So I don’t believe that we will be behind from a relative perspective in bringing products to the market. I think we will be right in front with the rest of the European steel industry. In terms of the overall budget, yes, you’re right, there has been CapEx inflation, but our focus is to remain within that target and ensure that we redesign or use our advantages, whether it is global or whether it is our scale advantages to achieve the same target within the budget that we have announced.
Tristan Gresser: All right, that’s really clear. Thank you.
Daniel Fairclough: Thanks, Tristan. So we’ll move now to next question from Myles at UBS. Go ahead, Myles.
Myles Allsop: Great. Thanks. A couple of questions. Maybe can you talk about the growth you expect in India sort of medium term, it’s growing sort of 8% or so this year. What do you see over the next sort of five, 10 years as a sustainable level of demand growth in India and other parts of Southeast Asia? That’s the first question.
Aditya Mittal: Yes. So India has surprised us all positively. We were always very constructive on the outlook. We felt that India is really a growth vector. But if you just look at the numbers coming out of India in 2023, 2024. I mean, in 2023, apparent steel consumption grew by 12% and the year before by 9%. This year, we’re projecting 6.5% to 8.5% growth. So really strong numbers that are coming out of India and clearly, that’s benefiting our joint venture and supporting our growth plans. We are in the process of doubling capacity in Hazira. Today, we have 20,000 people who are working there and we should hit 15 million tonnes of capacity by 2026. We are not stopping there. We intend to take that site to 20 million tonnes before the end of this decade and we have plans on the West Coast of the country as well. In terms of overall demand numbers, I mean, we’ve talked about growth of 300 million tonnes on a global basis in terms of the steel business, and a significant portion of that is coming from India in excess of 100 million tonnes. Obviously, there’s also growth in Brazil and North America, all of which are core markets for us.
Myles Allsop: And that 300 million tonnes is that by 2030 or what was the time frame that you were thinking for that?
Aditya Mittal: Yes. It’s actually the next 10 years, so early part of 2030s.
Myles Allsop: Okay. The second question is on Liberia. How confident are you that the new concentrator will start up in Q4? And what sort of ramp up profile and cost position will that operation have?
Aditya Mittal: Yes. So the concentrator will start up end of the year. The ramp up, obviously will take a longer period of time. At this point in time, unless Genuino has more specifics to provide you, we have not provided that guidance. In terms of cost position, look, it’s a very low cost mine. We have a very good and extensive ore body. Costs are low in Liberia. We own the rail line. We have the port facility. It’s not even a long rail line. It’s a relatively short rail line. And so when we look at FOB costs, it’s super competitive. Genuino, Perhaps you can add a little bit more detail.
Genuino Christino: Yes, Aditya, I think you’re absolutely right. So we should start have the first war by the end of this year. And then the idea is that we start in, we will have three models, so the first 5 million tonnes, and then by the end of 2025, we should be at the run rate of 15 million tonnes. So that’s the plan. And then the teams are also exploring the possibility that we can keep a DSO for some more time, so that we can also maybe add some more value to the project.
Myles Allsop: And what’s the capacity of the rail if you’re thinking about longer-term options there?
Genuino Christino: Sorry, Myles, I could not…
Myles Allsop: Sorry. I was just thinking about the capacity of the rail line for other optionality in the future.
Genuino Christino: Yes. So as we execute the project now, we are actually taking capacity of the rail from about 30 million tonnes. So we will have a capacity that should go to a second wave as and when we feel it’s appropriate.
Myles Allsop: All right. Thank you.
Daniel Fairclough: Great. Thanks, Myles. So we’ll now move to a question from Tom at Barclays.
Tom Zhang: Hi everyone, thanks very much for taking our questions. The first one just on the U.S. business and Calvert, maybe just any thoughts on how you see the U.S. system evolving, given your partner at Calvert is potentially taking on quite a lot of U.S. footprint, basically whether or not you see any opportunities with Calvert into those U.S. deal assets. Thanks.
Aditya Mittal: Yes, sure. Look, Myles, we have -- Sorry, Tom, anyway, let me answer the question. In terms of Calvert, we are very focused on increasing and growing our business. We have talked about the EAF, the first EAF being commissioned in 2024. And we’re committed to doubling the capacity, electric capacity at Calvert. And we have plans for a second EAF. If you look on a broader basis, you will notice that we have renamed our NAFTA segment. I mean, NAFTA no longer existed as USMCA, so now it’s called North America, which is a core growth region for the company. What does that really mean? It means that we have world class assets, an excellent team and the best automotive franchise. We have almost 13.8 million tonnes of hot rolled capacity in North America. And if you include our Canadian mining business, almost 40% of group EBITDA is coming from North America. The other very interesting aspect of our business is that we are decarbonized to a large degree, if you look at our Mexican business, it’s operating with a DRI and EAFs. Calvert, as you know is electric, and we have plans to decarbonize Dofasco. So we have a very strong platform to continue to grow and develop the business. In terms of Calvert’s role in the future, I think the role really is to expand and develop the business as a Calvert site.
Tom Zhang: Understood. Fair enough. And then the second one, just on the strategic envelope, you’ve sort of given the waterfall chart of various projects, all coming online at various stages of 2024, maybe more of a sort of housekeeping question, but what’s the sort of phasing of earnings from these projects? Because I guess a lot of them come online in 2024, but there’s various ramp up stages. I guess Liberia is the main one where you’re not seeing full impact until probably 2026, when it’s at full run rate. So, yeah, if you have a sort of number of percentage of this $850 million that’s coming online next year, how much of that is actually recognized in 2024? How much is 2025? How much is 2026?
Aditya Mittal: Yes. Tom, I’ll let Genuino to answer that.
Genuino Christino: Thank you. Tom, I mean, we -- as you can see there, so we are guiding for about $900 million worth of EBITDA in projects to be completed this year, right? I mean, some of them really towards the end of the year. So we should not really see a significant impact from the projects in 2024. But I would expect to see a large part of it already in 2025, with the exception of Liberia, as we discussed, Liberia being, of course, about $300 million of the total. I would expect to see perhaps half of it in 2025, and then the full benefit in 2026.
Tom Zhang: Thank you. So sorry, just to clarify, half in 2025, that means half of the Liberia benefit or half of the…
Genuino Christino: That’s what I would guide today.
Tom Zhang: Got it. Thank you. I’ll turn it back.
Daniel Fairclough: Great. Thanks, Tom. So we will move now to a question from Max at Oddo.
Maxime Kogge: Yes, good afternoon. Thanks for taking my question. So yes, first question is on U.S. steel. Now that the process is behind all of us, can you confirm that you had made an offer for the unit, and can you give us -- can you tell us also, I mean, why you think it was not retained by U.S. steel? That would be my first question.
Aditya Mittal: Max, thank you for your question. As you know, ArcelorMittal has a longstanding policy, I’m not commenting on M&A, so we have not commented in the past and we won’t be commenting now. I think there have been a lot of questions on North America, so I won’t repeat what I just said. But suffice to say, we are committed to our business in North America. We have a very strong platform and we intend to build on that.
Maxime Kogge: Okay, okay, fair enough. So my second question is on SCIS. It’s been now moved to other. So is it fair to assume that basically for the foreseeable future, the two remaining units, South Africa and Ukraine, will remain loss making. I think that in Ukraine, local management was hopeful that production could increase quite significantly this year versus 2023. I mean, what’s your view on that? And in South Africa, are you still committed to withdrawing from the long segment and what would be the benefits in terms of margins from that withdrawal?
Aditya Mittal: Sure. So let me address your question. So first of all, South Africa is not a bit negative in 2023. We do have, of course, issues, problems with the long business. That’s why we took an impairment there. And we are in discussions with the government in South Africa with various stakeholders to try to preserve the business, the long business. So South Africa is a bit of positive. Ukraine and Kazakhstan, as we know, they were EBITDA negative in 2023. Kazakhstan is now out. That’s about $100 million of EBITDA loss that we should not see again repeating in 2024. And I think the Ukrainian team is doing a great job, minimizing the losses. Today, we are below really $100 million, even less when it comes to free cash. So I think it’s -- given the circumstances, it’s going relatively well. What we see more recently, which give us also some optimism is that the Black Sea is showing signs of normalizing or at least there are some routes that our unit can now start to use. So that should provide a boost to our exports, if that materialize, if that is sustainable, we will see that is going well. And we should not forget that we see Ukraine as in the future when situation normalize, giving the strong asset base and the quality of the iron ore that we have available can be an important part of our European strategy as well.
Maxime Kogge: Okay, okay. And the last one, if I may, on the -- what’s your course of action and what’s your residual exposure to the unit? I mean, would you lose any cash if the unit went into administration?
Aditya Mittal: Well, as you know, we have taken the impairment now in Q4, and we are not today subject to any other commitment. So at this stage, we don’t expect any more liabilities or costs associated with the asset.
Maxime Kogge: Okay, thank you. I’ll go back to the queue.
Daniel Fairclough: Great. Thank you, Max. So we’ll move now to a question from Moses at JP Morgan.
Moses Ola: Hi, everyone. Thank you very much for taking my question. So the first one I had, please, is just on the ongoing share buyback with the materially strong free cash flow generation in this quarter. Just wanted to understand if the May 2025 target for the completion of the ongoing share buyback remains relevant or if there perhaps is a case for reauthorization sooner. That’s my first question, please.
Aditya Mittal: Yes. Moses, so, look, I think we have -- I was very pleased with what we achieved in quarter four. So we did well. We took advantage of the very weak share price. We continue to buyback as we speak. You can see the disclosures on a weekly basis. We will continue that. So we are very confident that the group will continue to generate good levels of free cash this year. We have said that we want to keep, and we will keep our capital allocation policy. So 50% of that will continue to be minimum, 50% will be dedicated to the buybacks. So at this point, we feel confident that, first of all, we’re going to be able to complete the program by May next year at the latest. And we’ll see as and when we cross that bridge, we will then, of course, ask for new authorization for more buybacks.
Moses Ola: Okay, thank you. So my second question is just on pricing power here in Europe. We’ve seen disruptions at the Red Sea, import, lower demand for imports. Just wanted to see, from what you’re seeing currently, if you’re seeing greater pricing power due to greater demand for domestic material, and how that weighs versus potential demand destruction, if any, as well.
Aditya Mittal: Yeah, I think you’re right. We are seeing that there is a little bit more reluctance from importers because of all the disruptions that we are seeing. That’s clearly positive. It’s difficult, really, though, to isolate all the elements. What we are seeing in Europe is we are really coming from, again, a severe destock phase in the second half of 2023, especially Q4. Q4 was again a quarter where we saw a high level of destock. With that now, hopefully behind us, we start to see prices recovery, spreads recovery. So that gives us good hope for 2024. You saw, apparently, consumption forecasts for the year, but the reality is that imports in Europe continue to be high, I mean, lower than 2022 overall. But still in terms of market share imports basically kept the market share that they had in 2023. So it remains a point of concern that we have continuously -- we are highlighting to the relevant governments. It’s something to be watchful.
Moses Ola: Thank you. And finally from me, just thinking about M&A here and how essentially as you look to continue decarbonizing the business and we see the capital intensity required for those CO2 steel assets. How do you weigh that versus the ability to maybe purchase some low CO2 steel assets versus essentially building them out currently?
Aditya Mittal: Sure. That’s an ongoing dialogue, right, internally. So, we’re always assessing opportunities and reviewing it versus our ability to decarbonize our own business. I mean case in point is we -- in some sense, we’re doing both. We acquired a facility in Texas, which allows us to have today HBI capacity. We have over facility, which can do more than 2 million tons and our share of capacity is more than 1.8 tons [ph]. We intend to double that facility. That’s a good example in which we have bought something and then we’re doubling it, and we’re going to use that product within our plants. In terms of decarb, I think we made some important investments already. We have made progress in capturing the CO2 from our blast furnaces. So we have a flagship project in Belgium, which has started up this year. It’s a €200 million project. We actually take the off gases converted into bioethanol and therefore, allow the CO2 to be reused. So, I think it’s an ongoing dialogue. I think we’re very focused as a company that we ensure that as we decarbonize, we generate a return on that. And I think that becomes critical as we navigate the future and how we continue to generate value for all stakeholders.
Moses Ola: Thank you.
Daniel Fairclough: Thanks. We will move now to a question from Timna at Wolfe Research.
Timna Tanners: Yes, hey. Thanks for taking my question. I really wanted to follow up, if I could, about the mention of the core growth region in North America and particularly the comments about automotive exposure. Can you talk -- expand perhaps on the opportunities in Canada, Mexico, U.S. and maybe downstream versus build versus buy. Just you did divest some automotive exposed assets to Cliffs a couple of years ago. So just wondering what type of growth you’re looking at, if you could just give us some high-level thoughts.
Aditya Mittal: Sure. Thank you, Timna. So just overall, starting with the basic facts, I think I mentioned this already, but we have about 14 million tons of hot-rolled capacity. So just starting with Mexico, we just commissioned a new hot strip mill that’s doing really well. It has hit -- it’s been better than the ramp-up that we had anticipated. So the young team has done a fabulous job there. We have the ability to continue to invest downstream, right? So this is a value-add finishing projects, and that opportunity exists. We continue to invest in our finishing operations. When you look at North America, we’re increasing automotive capacity through Usibor investments and other investments that we continue to make in our finishing lines. Moving to Calvert in Alabama, clearly, our focus right now is to invest in electrifying our primary operations today purchase slabs, where we have the opportunity to do almost 3 million tons of electric furnace capacity there. Which not only supports the automotive franchise, but also helps our presence in the market. As we complete those projects, I think we will update the market on future expansion opportunities that we may have in the U.S. And moving on to Canada, I think the biggest opportunity there is how do we decarbonize. Otherwise, if you look at Dofasco asset, it’s a flagship asset. It has a lot of value-add capability. It continues to generate very good margins remains a low-cost, high-quality producer, and we have the opportunity to now move into the low-carbon -- low-carbon production routes and also reduce its cost, because if you look at the energy mix in Canada, I think there are some opportunities to decarbonize and also find cost savings. So, I hope that gives you a flavor on how we intend to develop upstream as well as downstream capacity in our North American business. I’ve not talked about metallics, but just very quickly to complete the picture. We intend to double our capacity of HBI in Texas. And we have a flagship mining business in Canada, we should not do sight of that. That’s a 24 million ton business. It has a 10 million ton pelletizer. And that pelletizer has been converted to full DRI capability as we speak. So then we will have 10 million tons of DR pellet available in Canada, which obviously is a good location to supply to various of our facilities.
Timna Tanners: That’s a great overview and there’s a lot of demand for it second or third alternative in the market for automotive. So that all sounds great. I just wanted to shift, if I could, on the second question on the Brazilian market has been kind of plagued by cheap Chinese imports or other imports that doesn’t have as many trade barriers. Just wondering if you see any room for hope there. Obviously, the demand is solid longer term, but any signs of greater protection going forward from those imports? Thanks.
Aditya Mittal: Yes. Thank you. So that remains a live discussion with the Brazilian government. We remain focused on ensuring that there’s a fair trade environment, a level playing field. At this point in time, I don’t have an update. But what I would add is that our Brazilian business is going through a growth phase. There are a number of projects, which are being commissioned. You asked about automotive. We are expanding our automotive capability there through expansion of Vega, which is our downstream cold-rolling/galvanizing facility. We’re also growing our long products capability, growing our mining business. And so when you look at Brazil in 2024, we actually think it’ll do better than 2023. Also, the inclusion of Pecém, the acquisition that we made in the Northeast of Brazil, is doing really well, and we have the benefit of full year results from Pecém. So I do see higher Chinese imports into the Brazilian market. We clearly are working with relevant stakeholders to ensure there’s a level playing field. But in spite of that, just because of the strength, resilience, the high quality, low cost nature of our business, we’ll continue to do well in 2024 relative to 2023.
Timna Tanners: Okay, great. Thanks again.
Aditya Mittal: Sure.
Daniel Fairclough: Thanks, Timna. So we’ll move now to a question from Patrick at Bank of America.
Patrick Mann: Thank you very much for the presentation. Two questions, please. The one is just what percentage of EBITDA do you think your strategic projects will be once they ramp up? So we’ve had quite a few moving parts and now a change in disclosure as well with ACIS basically going. So the 1.8 billion at normalized spreads, what would that kind of be of your group total? And then the second question, I think is probably a follow on from, but a bit of a different angle. So Nippon is your JV partner at Calvert, but if they take over U.S. Steel, which seems very likely, then they end up being quite a significant competitor in terms of automotive. Is that a conflict of interest at all and how do you manage it? Or are you comfortable that the JV is sufficiently independent that it’s not going to be an issue at all? Thank you.
Aditya Mittal: Sure. I’ll take the second question, and I’m not sure Genuino will answer your first question because I think you’re almost asking for guidance. But I’ll leave him -- I’ll leave it up to him. In terms of your second question, look, I’m not going to comment on the specific provisions of our joint venture, but typically in such situations, when there is a selling partner, they sell it to the other partner in the joint venture, right. So I could imagine such a situation would develop. Genuino?
Genuino Christino: Yes. So, Patrick, I mean, as you can see, I mean, all the EBITDA that we are providing for the project, they are based on, I would say conservative assumptions. These two projects, they are based on the average spreads that we saw during 2015 to 2020. In the mining projects, we have long-term assumptions that are, as we all know, much lower than what we have seen in the last couple of years. So I would say that today we see if you were to do a mark-to-market of these projects, I would see a lot of upside in the mining projects, but it’s not our intention to be providing this mark-to-market. We will see when we start to produce and sell the products. But clearly today, based on the assumptions today, that is good upside to the numbers that we are providing there.
Patrick Mann: Got it. Thank you.
Daniel Fairclough: Thanks, Patrick. So we’ll move to Bastian at Deutsche Bank. Go ahead, Bastian.
Bastian Synagowitz: Yes. Thanks, Daniel. Thanks for taking my questions. I got two left, actually, and the first one is on the new sustainable solution segment, which is something you’re moving into the focus here as well. So will you report the green steel sales under this new segment as well? Or is it mostly just the renewables which will drive growth here? And then also, maybe in that context, is this an area where you’re looking for M&A, because even after doubling EBITDA, it will obviously be still pretty small in the group context. That’s my first question.
Aditya Mittal: Yes, hi. So in terms of sustainable solutions, it’s actually a business that we own -- businesses that we own. It is not meant to capture our low carbon product. So maybe I’ll just first address the low carbon product offerings that we have. So, as you know, we’re already selling various products under our XCarb branding. They’re doing well. In this earnings presentation, we have highlighted how Schneider and Vestas are procuring our items and using them and providing them in their low carbon solutions. So I think we continue to do well. I think as we decarbonize, the product that we will sell from a low carbon standpoint is part of our core business, right? So that’s not changing. So as the market develops and our customers, whether it’s auto or otherwise, will be demanding these products, they will be furnished by North America segment, by our Europe segment, by Brazil, et cetera, et cetera. The sustainable services is really a bunch of businesses which have a fundamentally different character to the businesses that we own. A lot of them are downstream. So, for example, our construction business that we call internally is really supporting manufacturing of buildings and systems. We have project engineering in which we supply product for energy infrastructure requirements. We have an EAF based facility called Industeel, which provides really niche, high quality plates, whether it’s to the nuclear industry or to low cost -- not low cost, low carbon segments of the industrial landscape. Included in this will be the scrap, the metallics, which is recycled steel, as well as our renewable investments. So really what we want to highlight is that we have a bunch of high growth, niche capital light businesses which are playing an important role in supporting climate action and have a different profile in terms of the capital that is deployed, the return on capital, and the stability of earnings. We intend to double this based on the existing plans that we have. And to the extent that it makes sense to acquire and further boost the growth, we will examine that.
Bastian Synagowitz: Okay, great. That’s great color. Thanks, Aditya. Then my second question is one on ADIA, actually. So I’m wondering what was the recent underlying run rate for the loss in the fourth quarter if you were [indiscernible] the impairment? And then maybe also, is there still a realistic pathway for you to retain an involvement? And I guess I’m asking that because I guess if you’re not able to run it on your platform as a European market leader, I’m not quite sure who will be capable or willing to take on that risk.
Aditya Mittal: Yes, sure. I will answer the second part of your question, and then maybe Genuino would like to add something. As you know and as you have alluded to, the troubles of Ilva are well documented, right? We have entered into a public-private partnership with the government, to ensure that the assets remain sustainable and viable. On our part, we have invested a significant amount of capital. We have completed all of the environmental investments, which were mandated. We have actually even spent more than €1 billion in capital equipment or CapEx and improving the performance of existing assets. I believe that today we are in a discussion with the government on the appropriate way forward. The energy crisis that occurred in Europe over the last 18 months has exacerbated the viability of this asset or has diminished, I should say, the viability of this asset. And therefore, we remain in discussions on the appropriate way forward. This is a live discussion as you are aware, and to the extent that there are developments, we will immediately keep performed. In terms of the impairment, it was prudent to impair our assets in Ilva based on our future cash earning projections as well as the potential settlement. We’re not expecting any further impacts from Ilva or ADI going forward.
Bastian Synagowitz: Okay. And again, just on the -- and then on the run rate -- loss run rate contribution, excluding the impairment, I guess, if you were to consolidate it, you would probably get a relief on the associates line?
Genuino Christino: Sorry, Bastian. Can you repeat again your question?
Bastian Synagowitz: Yes, sure. Sure. I think in the fourth quarter, you’ve been impairing Ilva. But I guess you also on an underlying basis has been loss-making. And so if you -- if you just exclude the impairment effect from the net loss, what would have been the loss contribution to the associates and joint venture line. And I guess if you were to deconsolidate it, just to gauge what the asset could be, so i.e., what has been the underlying loss before impairment in Q4?
Genuino Christino: Right. Yes. So for full year, so that would -- I mean, of course, you don’t have the losses of Q4 because we have impaired the assets, right? So then -- so it would have improved our results in JVs by about $50 million.
Bastian Synagowitz: Okay. Great. Thank you.
Daniel Fairclough: Thanks, Bastian. So we have about five minutes left to [indiscernible] question about -- three more people to ask questions. So hopefully we can get through this. But we’ll take the next question from Andrew at UBS. Go ahead, Andrew.
Andrew Jones: Yes. Thanks Daniel. I think a lot of the questions have already been answered. But just for the first quarter, just curious if you could just talk us through some of the main divisions, your expectations for sort of broadly volume change spread mix or the rest of it? And just a quick comment on the European market, I mean, we’re seeing prices just ticking down a little bit on plants the last couple of days. I mean just wondering if we’ve -- if you’re seeing the end of that destocking bounce or in your view, what’s sort of driving that the last minutes restarting or just give us a bit of color about how you see the European [indiscernible] price at the moment? Thanks.
Genuino Christino: Yes, sure, Andrew. Let me take this one. So in terms of the moving parts for quarter one clearly, we’re going to see the benefits of the higher prices that we started to see really in the second part of Q4, so that will impact our -- positively impact our results in quarter one to higher prices, especially in NAFTA, to some extent also in Europe. We should also see better shipments. We will see improvements, of course. As we all know, Q4 is seasonally a weak quarter in some regions, and also, we faced the destocking in most parts of our business. So we’ll see a recovery in shipments, we will see better prices. But at the same time, we’re also going to see some pressure from costs as we all know, we have also seen raw materials rising, especially coking coal, so that should also be taken into account. So that’s in terms of the moving parts in Europe. I think I touched on it already. The fact that we had this very severe destock again in Q4 put us in a good place. I mean, in terms of apparent consumption going forward in Q1, we start to see prices, of course, recovering. We start to see the spreads improving as well. So that looks positive for quarter one, but of course we also need to take into account that raw material costs also increased, as I talked about.
Andrew Jones: And do you see an imports in the near-term, just given these Red Sea issues. So is that likely to keep supply tight into 2Q? Or can you see can you see prices sort of starting to drift there?
Genuino Christino: Well, as you know, Andrew, we cannot really comment much on future prices. We’re not allowed to do that. So we -- I guess we will have to wait and see. But the point is that we have highlighted in our earnings, I guess, they’re all positive, right? The fact that apparent steel consumption for you should be positive this year, the fact that inventory levels are at the low levels, so we talked about some of the disruptions also impacting the Red Sea shipments. We’ll see, right? But I think the evidence that we have today in front of us it’s good.
Andrew Jones: Okay. Thank you.
Daniel Fairclough: Thanks, Andrew. So, we’ve got a couple of follow ups. So we’ve got a couple of follow-ups. We’ll take the first from Max at Oddo.
Maxime Kogge: Yes. Thank you for taking this one, on the maybe given the greenfield of recovery, you think what do you think of reopening a Fos-sur-Mer, there is still one blast furnace either there. So what can you say on this topic?
Genuino Christino: Yes, for now, there is no decision yet to restart furnace.
Maxime Kogge: Okay. And I think iron ore production last year was really soft. Can you give some kind of soft guidance on 2024? Do you think you can come back to the 2022 levels in terms of iron ore production?
Genuino Christino: Well, absolutely, I think that’s absolutely the target. So unfortunately, we had the bridge failure in Liberia. Will still impact us in January. But after that, we have restarted again haulage, so we should be up and running again. And mines [ph] Canada, in January, we are doing well in terms of material movements. So, I think the whole team is committed to be back to the 24 million tons there.
Maxime Kogge: Okay. And lastly, you don’t have any coal assets anymore. And in that situation, this could be interesting to have some given how high prices are? Are you willing to come back into that area alongside iron ore, where you have significant presence, or is it too difficult to handle given the security constraints?
Aditya Mittal: Yes. Thank you. Look, we -- as ArcelorMittal today, we do not operate any coal mines globally. That will be the case for the foreseeable future. I do not rule out equity investments to secure our supply chain, but not a direct operating mine, not a direct operating coal mine under our ownership. I think we remain very focused on expanding our existing iron ore business. We have flagship assets, both in Canada and with the investments we’re making in Liberia. It’s a Tier 1 high-quality deposit we’ll be running at 15 million tons, and you heard from Genuino, we can take the rail line has a capacity of 30 million tons and the deposit there can support that output. So really, our focus in terms of the mining business is growing and developing our existing mining assets, i.e., iron ore and not focused on developing or acquiring coal assets in which we are the operator.
Maxime Kogge: Okay. Thank you for taking my questions.
Daniel Fairclough: Great. Thanks, Max. So Aditya, we’ll take last question from -- it’s a follow-up from Alain at Morgan Stanley, and then I’ll hand back to you.
Alain Gabriel: Thanks. Just one quick question is on the slab market in Europe. Do you see it structurally changing with the plant closure Port Talbot and all the trouble that Ilva and the progressive sanctions on imported Russian slabs and how well are you positioned to capitalize on this new and evolving dynamic? Thanks.
Genuino Christino: Well, Alain, we -- the whole teams are focused on, of course, making sure that we are capturing all the opportunities, right? So unfortunately, as we know, the Russian slabs, they continue to flow into Europe. There is quite a long transition period. We will see when that happens, right? I think we’re going to be in a position to then to be an important supplier to the market if that happens. I think we will have the capacity to do that. But we’ll see how it develops, right? Because we know that has that got extended at least once, we’ll see how it develops.
Alain Gabriel: Thank you.
Aditya Mittal: Okay. Great. I’ll conclude the call. Thank you, everyone. We covered a lot of ground on the call today, but I hope your takeaways are clear. We are on the cusp of a step change in our profitability. The outlook for steel demand is positive, and we are well positioned to capitalize on the growth vector that exist within our industry. We’re organizing various events this year to provide you with more insight on these dynamics including a trip to visit our operations in India at the end of September, where you can see firsthand all the positive developments that are occurring at the facility and the potential of the facility as well as the country. More details will follow soon, I’m sure. And in the meantime, if you need anything, please do reach out to Daniel and his team. With that, I conclude the call. I wish you all the best in the year ahead. Stay safe and keep those around you safe as well. Thank you.